Operator: Good afternoon, ladies and gentlemen. Thank you for joining today's Cable One Third Quarter 2022 Earnings Call. My name is Tia, and I will be your moderator for today's call. All lines will be muted during the presentation portion of the call with an opportunity for questions and answers at the end. [Operator Instructions] I would now like to pass the conference over to your host, Jordan Morkert.
Jordan Morkert: Good afternoon, and welcome to Cable One's third quarter 2022 earnings call. We're glad to have you join us as we review our results. Before we proceed, I would like to remind you that today's discussion contains forward-looking statements relating to future events that involve risks and uncertainties. You can find factors that could cause Cable One's actual results to differ materially from the forward-looking statements discussed during today's call, in today's earnings release and in our recent SEC filings. Cable One is under no obligation and expressly disclaims any obligation, except as required by law, to update or alter its forward-looking statements, whether as a result of new information, future events or otherwise. Additionally, today's remarks will include a discussion of certain financial measures that are not presented in conformity with U.S. generally accepted accounting principles or GAAP. Reconciliations of non-GAAP financial measures discussed on this call to the most directly comparable GAAP measures can be found in our earnings release or on our website at ir.cableone.net. Joining me on today's call is our President and CEO, Julie Laulis; and Todd Koetje, our CFO. With that, let me turn the call over to Julie.
Julie Laulis: Thank you, Jordan, and good afternoon, everyone. We appreciate you joining us for today's call. Our third quarter 2022 results reflect the fundamentals of a growing and resilient business, a business that is also in the midst of a unique environment. As a reminder, our results for this quarter do not include the operations of Clearwave Fiber, Hargray Managed IT or the Hargray Tallahassee operations which we divested or contributed to new partnerships earlier this year. Additionally, this quarter includes the operations of Cable America, which we acquired in December 2021. When excluding these operations for Q3, our total revenues increased by 1.4%, residential broadband revenue grew by 5.7% and our Business Services revenue grew by 5%. In total, our adjusted EBITDA margin remained high at 52.9% and our adjusted EBITDA less capital expenditures increased significantly by 24.6%. Our strategy, the rural markets in which we operate, our high-capacity network and our purpose-led associates, drive our solid results quarter after quarter. Digging into that a little further, our HSD and Business Services revenues continue to show consistent growth through a mix of increasing units in ARPU, driven by adoptions of higher tier services, other value-added features and an occasional rate adjustment, a clear indication of the valuable nature of our products. Our rural markets mitigate against the speed and volume of competition that providers in more dense, urban and suburban markets are experiencing. Our network has been carefully engineered to economically accommodate not only the faster speeds we're seeing demand for, but also to provide the significant runway for continuously climbing data usage. These factors cement our confidence that we are providing a critically important product to our customers and communities that will lead to continued long-term growth. Finally, our associates will always be one of our true differentiators. They live and work in our communities, and that means providing exceptional service is personal to them. This unique approach to serving our customers positions us as the trusted broadband provider in our markets, engendering loyalty and by extension, increasing customer retention. While we continue to see the resilient demand for our services, we are, however, navigating changing environments. In addition to a slowdown in consumer move activity across our footprint, small businesses are experiencing the pressures that traditionally come with a weakening economic environment, and widespread sentiment about our industry has turned negative over growing concerns about limiting competition and the cost of network upgrades. We will cover these topics as we go through the call today. Looking first at our residential Internet service. We added approximately 30,000 customers on a year-over-year basis or 3.2% growth. On a sequential quarterly basis, we grew by 1,800 customers. While move activity across the MSO has been soft through the year, this quarter, we saw a dramatic decrease that has resulted in a corresponding slowdown in gross connects. Our customer churn, however, continues to outperform pre-pandemic trends. Our residential Internet ARPU for the third quarter increased by 2.5% year-over-year. As discussed last quarter, we believe our ARPU can grow at a faster pace in the future as customers continue to demonstrate their desire for higher speeds and data, and we continue to explore and introduce value-added services to our product offering. In the third quarter, our selling for packages with a download speed of 300 megs or higher increased by over 500 basis points from approximately 59% of our total customers to 64%. And gig sell-in accelerated once again from 28% to nearly 32%. Customer growth, the continuing increase in data consumption and the demand for more robust Internet service all serve as a testament to the need for fast and reliable connectivity in our markets and a positive long-term outlook. Our results also demonstrate that we can continue to grow our residential broadband business, despite new entrants into the broadband category. As of the end of third quarter, 33% of our markets had a wired competitor offering residential broadband download speeds of 100 megs or higher. This represents a relatively low percentage of our overall footprint. We have successfully overcome market competition throughout our company's history. For context, we competed against DSL and essentially 100% of our footprint in the past. Back then, our products were at parity, and we leveraged our local associates, our rural market know-how and work to improve our product offerings in order to grow. My confidence in our ability to continue this type of growth over the long term continues today for the same reasons. We will also continue to keep an eye on fixed wireless competitive activity, but adoption in our markets remains low. While there is potential for near-term disruption, as we believe this could be a viable alternative for DSL and other lower-quality technologies, we have already experienced customers returning to Sparklight for our premium, reliable wired service. Moving to Business Services. When excluding the operations we divested earlier this year and those of Cable America, we experienced revenue growth of 5%. While macroeconomic headwinds give some indication that there are some strains on small businesses, we feel our services are mission-critical to the customers we serve and are confident in delivering growth over the long term. As mentioned earlier, another concept in our business has been the growth in customer data usage. Our average data usage grew 19% from the same quarter of 2021, reaching a new high at just over 580 gigabits per month. We now have nearly one out of every five customers using more than a terabyte of data on a monthly basis with downstream usage outpacing upstream at a ratio of over 15:1. At the same time, we have maintained significant capacity on our network with downstream and upstream utilization during peak hours never exceeding 22%. A network I'd like to highlight over which more than 95% of our customer data travels on fiber versus coax. This continued growth in demand sets the stage for the enhanced service offerings we are preparing to roll out at the beginning of next year and beyond. For residential customers, we have successfully tested multi-gig download speeds and upload speeds that would be in excess of 10x faster compared to our flagship speed tier. As we roll out this next generation of service offerings, we do not anticipate any material increase in our annual capital expenditures since this investment has been part of our road map all alone. Related to our network, our long-standing pivot away from video to focus on high-speed data and business services has us working to harvest linear video spectrum from our existing network through the launch of Internet protocol TV and allocating the resulting capacity to the growing demand for our broadband services. As we go through this transition, we anticipate a continuation of accelerated video losses. Over the long term, we expect this effort to reduce our capital outlays for video services and enable us to continue to advance down our strategic path. Transitioning to integration and deconsolidation activities, this quarter, our teams made excellent progress on the integration activities underway across our multiple brands. Most recently, in October, we partnered with the Clearwave Fiber team and successfully migrated customers onto their own billing platform, further empowering the Clearwave Fiber management team to execute on their strategy of accelerating market expansion in new and existing markets. To date, our Fidelity acquisition has significantly exceeded our three-year EBITDA target with more upside as integration activities continue. As a reminder, due to the strong performance at Fidelity and the large opportunity with Hargray, we need the tactical decision to pivot our primary focus to the integration of Hargray Communications, which also continues to progress along our scheduled road map. Switching gears. We continue to leverage technology and process improvements to further elevate our customer experience. I'd like to highlight some ways in which we are seamlessly and more efficiently servicing our customers, including the recent launch of our automated field maintenance program and our automated [Truffle] recommendation engine. The automated fuel maintenance program monitors our plant and creates work orders prior to a customer experiencing an issue. This further improves the reliability of our service while driving efficient routing for our internal workforce for increasingly shifting from reactive to proactive maintenance of our network. Our automated Truffle recommendation engine is a unique machine learning system that analyzes cable modem signal to determine if a customer's device is not performing optimally and cannot be fixed via remote troubleshooting. This new process enables our associates and customers to bypass time-consuming steps in the process and move directly to an on-site technician. These are just two examples of the many transformative opportunities we will bring to market in the near future, making the lives of our customers and associates better and further enabling Cable One to provide differentiated service and successfully compete over the long term. Looking at our unconsolidated investments. In total, residential and business data customers grew by approximately 9,200 or 2% on a sequential basis from Q2 of 2022. This does not include the operations of Metronet or [indiscernible]. These strong results continue to demonstrate the success of our simple strategy of providing reliable broadband services to an expanding area of rural America via partnership with some of the best and most proven business and financial leaders across the communications industry. Our newest strategic growth partner is ZiplyFiber, a leading fiber-based broadband provider serving communities across Washington, Oregon, Idaho and Montana. Todd will be providing additional detail about our investment in Ziply in his remarks. Before handing the call over to Todd, I'd like to mention a few other notable events from the quarter. We are honored to have been named to PC Magazine's list of top 10 fastest Internet service providers in the nation for the second consecutive year. This recognition is further confirmation that our continued network investment is enabling us to meet the rising demand for broadband capacity and to provide the backbone for technological advances as the number of Internet of Things connected devices continues to increase. Pivoting to charitable giving and keeping with our values, which are do right by those we serve, drive progress and lend a hand, Cable One associates raised nearly $50,000 earlier this fall for Feed My Starving Children, a nonprofit organization committed to providing food to schools, orphanages, medical clinics and feeding programs in 70 countries around the world to break the cycle of poverty. As part of this same effort, Cable One donated an additional $10,000 to support local food banks in the markets we serve. In addition to these donations, we are proud to share that we recently awarded $125,000 in grants to nonprofit organizations across our footprint through our Cable One Charitable Giving Fund. In the two years since its inception, this fund has awarded more than 120 grants, totaling nearly $0.5 million to support nonprofit organizations and building strong and vibrant communities, improving quality of life and making a positive difference in the cities and towns where we live and work. And now, Todd, who will provide a full recap of our third quarter financial performance.
Todd Koetje: Thanks, Julie. Before I begin, I'd like to remind everyone that our third quarter 2022 results do not include the operations of Clearway Fiber, Hargray Managed IT or the Hargray Tallahassee operations, which we divested or contributed to new partnerships earlier this year and predominantly represent Business Services units and revenues. Additionally, the results for the third quarter of 2021 did not yet include Cable America operations. Whenever we discuss our year-over-year results on an adjusted basis today, we are excluding these operations from both periods. Starting now with revenue. Total revenues for the third quarter of 2022 were $424.7 million compared to $430.2 million in the third quarter of 2021, a 1.3% decrease. The decrease was primarily due to the contributed operations to Clearway Fiber at the beginning of the year, partially offset by increases in higher-margin Residential Data and Business Services revenues from continuing operations. On an adjusted basis, our total revenues increased by 1.4% for Q3, Residential Internet grew by 5.7% and Business Services revenue grew by 5%. Operating expenses were $120.5 million or 28.4% of revenues in the third quarter of 2022 compared to $121.7 million or 28.3% of revenues in the comparable quarter of the prior year. Selling, general and administrative expenses were $86 million for the third quarter of 2022 compared to $95.1 million in the prior year quarter. These expenses were 20.3% of revenues in the third quarter of 2022 compared to 22.1% of revenues in Q3 2021, a 180 basis point improvement. Net income in the third quarter was $70.6 million or $11.53 per share on a fully diluted basis. Adjusted EBITDA was $224.6 million for the third quarter, an increase of 1.9% when compared to 2021. Our adjusted EBITDA margin was 52.9% As a reminder, the results for this period don't include the EBITDA-generating assets that we contributed to Clearwave Fiber earlier this year. Please note that we do not provide adjusted EBITDA growth rates on a pro forma basis. This is due to the challenges in providing the required non-GAAP reconciliations when taking into account corporate allocations that were part of Hargray's financial statements in 2021. Capital expenditures totaled $100.5 million for the third quarter of 2022, which equates to 44.7% of adjusted EBITDA. During the quarter, we invested $14.8 million of CapEx for network expansion and $7.6 million for integration activities. Adjusted EBITDA less capital expenditures was $124.1 million for the third quarter of 2022, an increase of 24.6% from the prior year quarter. In the third quarter of 2022, we increased our quarterly dividend from $2.75 per share to $2.85 per share, resulting in a distribution of $16.7 million in dividends to shareholders during the quarter. We also repurchased 89,000 shares for approximately $115 million during Q3, bringing the total capital returned to shareholders during the quarter to $132 million. Year-to-date, we have repurchased nearly 233,000 shares for approximately $307 million. Turning to the financial structure. As we have mentioned in the past, the strength and flexibility of our balance sheet has always been something we deem as a long-term asset and a key strategic contributor to our track record of delivering above-average shareholder returns. That rings even more true in this current rate and economic environment, and we remain well-positioned to navigate this market with our earliest maturity being over three years from today, our weighted average cost of debt for the quarter at less than 3.5% and nearly 75% of our borrowings under long-term fixed contracts. We maintained a modest leverage ratio throughout the quarter, remaining right at 4x as we continue to utilize excess cash flow to return capital to our shareholders. From a liquidity standpoint, we had $255.7 million of cash and cash equivalents on hand as of September 30, and we continue to generate significant free cash flow. At quarter end, our debt balance was approximately $3.9 billion, consisting of approximately $2.3 billion in term loans, $920 million in convertible notes, $650 million in unsecured notes and $5 million of finance lease liabilities. We also had approximately $456 million available for additional borrowing under our revolver as of September 30. In Q2, we reported that we had entered into a new agreement providing for incremental letters of credit capacity with one of our core lending partners. Subsequent to quarter end, we have been able to move previously issued letters of credit from our revolver to this new facility, not only meaningfully reducing the ongoing cost of issuance, but also increasing our liquidity with full access to our $500 million revolving credit facility. As Julie mentioned in her remarks, on September 6, we entered into an agreement to invest $50 million into ZiplyFiber, one of the leading broadband infrastructure platforms, serving rural communities in the Pacific Northwest. Our opportunity to invest in the growth of Ziply, alongside WaveDivision Capital and Searchlight Capital Partners, is yet another exciting example of our relatively unique, but simple approach of extending and advancing our partnerships with some of the best and brightest operational and financial minds across the communications landscape. With that, we are now ready for questions.
Operator: [Operator Instructions] The first question comes from the line of Phil Cusick with JPMorgan.
Unidentified Analyst: This is Nick, on for Phil. So you called out a dramatic decrease in move activity. Is there any color you could provide on particular regions where that might be? And would you say that your share of gross adds is lower or trending downwards as other cable companies have seen and called out?
Julie Laulis: Nick, this is Julie. I will make assumptions on the moves dropping. Other operators have seen this earlier. We did not. People were still moving to our communities, which we saw throughout the pandemic. So my assumption is higher interest rates are causing people pause to move at this point in time, and the overall economic environment on top of that. So we definitely saw the downturn in the third quarter of moves coming into the market, affecting our connects. In term of share of gross adds, no. I mean, again, it's just the total amount of connects. Again, our churn is at record lows. So people who are with us are staying with us. But we have to try to do business differently in this environment. The environment has changed, so we have to change. We have to try different tactics, we have to apply different pressure points and do tests so that we can see how we can attract people in this environment.
Operator: The next question is from the line of Greg Williams with Cowen.
Greg Williams: Can we talk about the ARPU? I think you mentioned it's up 2.5% year-over-year, broadband ARPU that is, somewhat of a deceleration from recent past. And wondering what sort of unleashes the ARPU to accelerate, whether it's the gross add sell-ins that you mentioned, Julie, or the buy ups to the 300-plus meg programs? A second question is just on your dividend hike. It was only up $0.10 versus your typical cadence $0.25. Is that really just a function of repositioning your capital allocation towards the stock repurchasing? Or is there something else to read here?
Julie Laulis: Yes. I'll start with the first. Todd can take the second. Yes, great question on ARPU. You may recall last quarter, we discussed that maybe we -- we're just, maybe a tad too cute in trying to make adjustments to our ARPUs. And by that, I mean, we migrated just 15% of our customers to a higher tier, higher-priced service. We gave them double the speeds, double the data. We moved some high-value items into our highest packages. And we did something that's counter to what we typically do. We typically keep promos and discounting to a minimum, and we did a deeper discount on that entry tier. And once we saw the results of that, we made some course corrections quite honestly. But it takes time for those corrections to flow through. I do believe that as we continue to sell higher tiers in -- you heard the rates, 64% above 332% per gig, that we will -- what we're seeing is really happy customers. That is they are sticky, they are not churning. And the need for data is one of the most impressive things that I really think we all should be taking note of. It is growing dramatically. And you and I can both imagine innovative products that will come through and take advantage of those higher data throughputs that have value to customers that we will be able to monetize. I believe those will be the drivers of ARPU in the long range future. And in the short range, it's the course corrections that we took place immediately after last quarter. Again, in most cases, customers are choosing the high data throughput plans. And another interesting fact is that household income is not a key influencer of usage according to our data. That means no matter what your income is, you want and need data, and we are a great provider of that.
Todd Koetje: Greg, this is Todd. On the dividend side of the equation, broader capital allocation, we did, I would say, temper the growth of the dividend, it's consistently been that quarter. And the last quarter, we announced that we increased it, which we believe in the consistently increasing dividend as we always have, but we increased it at a more moderate pace of $0.10 per quarter or $0.40 annually. And a lot of that was related to how we looked at the mindset of return of capital to shareholders. And of course, we reinstituted our buyback plan in the first quarter. And then to date, we've already bought back investing in ourselves and returning capital to shareholders through our buyback over $300 million through this quarter. So when you kind of combine them, it was a massive increase relative to that return of capital. But going forward, capital allocation remains very consistent as it always has been, balanced appropriately, network investment, very proactive on the network investment, organic opportunities that we continue to see, whether that's EDGE or expansion markets. Obviously, we've done some inorganic investments and that cadence was high, but it's tempered a little bit as we focus on integration and then that return of capital, which will continue to be, whether it be buybacks if we deem at the right value, whether it be dividends or debt repayments.
Operator: The next question comes from the line of Craig Moffett with MoffettNathanson SVB Securities.
Craig Moffett: Two questions, if I could. First, the ACA has posted on its website, I think, a while back that its members will have wireless product in the market by the end of this year. I wonder if you could just comment on what your plans are with respect to wireless? And then second, if we just stay on the topic of broadband ARPU for a second, how do we think about pricing and more direct price increases rather than mix increases to boost broadband ARPU. Is that something you feel like the market is prepared for given the pressures that you face with relatively low-priced fixed wireless broadband offers in your footprint?
Julie Laulis: Craig, it's Julie. Regarding wireless product, that is something that we continue to stay close to and watch, talking to folks that are launching products and pricing with their broadband bundle. There needs to be a use case, customers -- there seems to be something that customers need and demand, and we have to feel like it's a competency that we can bring to the table as it relates to this. Now if we see that it does provide some stickiness to the bundle, it's something that would provide a bigger lure for us to jump into the fray, but quite honestly, right now, with our business and the growth that we have in front of us in terms of units and ARPU and integrating the properties that we have or may have to come is, quite honestly, keeping us quite busy. So we'll stay close to it, but have no immediate plans. ARPU was your second question. Now like that's mine too. So we absolutely think that rate increases are a viable option, absolutely. We do pricing elasticity studies. And keep in mind, even though our ARPU tends to sound high compared to other operators, you know that our pricing is not high. It tends to get pulled higher by our customers choosing higher-priced plans or plans that have value-added features such as unlimited data. So rate increase is absolutely on the table.
Operator: The next question comes from Frank Louthan with Raymond James.
Frank Louthan: So looking forward, I mean, I hear that the pressure, things changed in the market and all. But sitting here a year from now and you've put up consistent positive HSD adds, what will have changed? What are you -- what are some of the things that you can do to kind of ensure that, that kind of growth happens over the next 12 months?
Julie Laulis: That's a great question, Frank. We do have to reimagine how we do business. Again, I alluded to the fact that in the past, we've had competition across 100% of our footprint, and that was DSL. And we had parity product at that time. This is back in the day when so-called cable operators were hanging around 25-meg product, and we were very similar to our DSL peers. What happened was, we innovated and we grew. We listen to our customers, we found needs that they had, and we found ways of serving those needs. So I think it's incumbent upon us to find potentially different cohorts that we haven't gone after in the past, if we can do so in a way that maintains our margin, and we have to find different ways of speaking to our customers that resonate. We also -- so that goes to marketing. We also need to make sure that our products are meeting their needs and that we're delivering it in a way that is frictionless. I think that we've made real progress there as evidenced by a record low churn. And actually, related to churn, our competitive churn has significantly improved year-over-year. That is to say -- we think of all of our markets as competitive, but there are some that we consider hypercompetitive that so-called 33% of our market that has a provider that offers 100 megs or more to their customers as well. And those markets churn is improving significantly. And we found that customers that we've onboarded in the past 2, 2.5 years have lower churn than their traditional cohort. So we think we're going down the right path and how we are, quite honestly, taking care of our customers. And we owe that to our local associates who are our neighbors to our customers.
Operator: The next question comes from the line of Brandon Nispel with KeyBanc.
Brandon Nispel: Julie, you mentioned integration activities. Can you talk about the integration that you're doing at Hargray and obviously, Fidelity, in terms of cost synergies? And maybe Todd could chime in on what that means for the expense profile? Secondly, I guess, related to that, could you talk about inflation in your cost basis? We've had obviously lower sub-growth and ARPU pressure, somewhat pressure on the top line. But what about expenses, especially as we're looking out to next year, you considering higher wage increases? What are you seeing for fuel, et cetera?
Todd Koetje: Okay. All right. Brandon, I'll hit the inflation one. Julie can talk about some of the integration, and I can even hit on some of the cost synergies as well. On the inflationary side, yes, you're spot on. I mean we're seeing it, everybody is seeing it, there's definitely pressure there. Talent retention critically important that you have the right team and making sure as people are both personally and professionally being impacted by this, that you have the right retention strategy. So wage inflation is real. We look at things like fuel that's impacted us. It's not material, but it's there. When you look at things like reassessment of property values, like property taxes has had some impact. So a lot of these things as it relates to just price inflation over the last two or three years are materializing themselves in some of the cost increases for us, which is why we had to take a very intentional and focused approach as to -- in this type of economic environment, how do we prioritize those costs, how do we make sure we're very aware and intentional on balancing that in this challenged economic environment, and that's where we were able to keep margins consistent even with what was a little bit softer top line, and that's something that is really the power of the scale that we have and the power of the infrastructure that we've built.
Julie Laulis: Related to integration activities, I'd start actually with deconsolidation activities because they're taking up as much time as the integration activities are quite honestly. So the teams worked together to get Clearway Fiber customers onto their own billing platform, and that's really important for them and for us because we've been partially supporting them until we can get them over to their own system. So that was a big win for both teams. We're doing the things that we typically do. Like the very first thing, of course, is financial reporting and getting people on payroll. But immediately, then we start assessing how do we connect the technology platforms, how do we get to parity on pricing and packaging, which by the way, we are absolutely making progress on. How do we institute similar cultural things to make people feel part of the team and be able to integrate the folks such that we can help each other out. The biggest Q wins for anything. And so the faster we can get the folks all hooked together on the same platforms, the same technologies, the sooner we can all help each other with handling any volumes that we have. Fidelity has done incredibly well, quite honestly, just running on their own, as we mentioned, beating their third year EBITDA targets. I'll let Todd talk to that a little bit more. So because of that, we've looked to integrate hard grade quicker. They're on a sort of homegrown billing system, so we considered it more of a priority to get them onto something more stable. So those would just give you a snippet of some of the things that are going on to make them more like one big happy family.
Todd Koetje: Yes. And I was going to even mention the Fidelity success and such a complement to that team and the leadership there and the execution day-to-day. But there was a highly complementary operational business, rural, great growth, invested in the network, amazing team, some of the things that we always talk about that are key to our inorganic growth strategy and capital allocation philosophy for acquisitions and M&A and investments, and that one to a [indiscernible] describes that. And what they've been able to achieve even without some of the, I'll call, yet to come platform integrations that always lead to additional cost savings, they far exceeded the expectations over that two- to three-year time frame that we focus on for integration. Hargray, we outlined when we announced that transaction, just north of $40 million cost savings expectations, and we're well along our path as it relates to that. Without some move again, those heavy lift and intentional lift platform integrations that will come over the next 12 to 18 months. So we feel very confident about that. As we've said in the past, M&A is at a high cadence over the last three to four years. That's something that now we are very focused on integrating flawlessly. But longer term, what we believe is still a very accretive opportunity for our shareholders is our track record in integrating these consistent and like-minded platforms.
Brandon Nispel: If I could just ask an additional question that would be great. And the question relates to seasonality in the business. Obviously, you reported about 1,000 HSD net adds. Is there any reason to believe fourth quarter seasonality should be consistent this year as in previous years, i.e., lower generally in the fourth quarter?
Julie Laulis: The way this year has gone quite honestly, Brandon, I don't know that what I've said to a lot of associates is whatever you know, shake it out of your head because the world is different. That being said, we see growth in the fourth quarter so far.
Operator: That's all we have time for. I will now pass it back to Julie for closing remarks.
Julie Laulis: Thank you, Tia. As always, I would like to thank our associates as they represent the heartbeat of Cable One's results that Todd and I are discussing today. We appreciate everyone joining us for today's call, and we look forward to speaking with you again next quarter. Thanks all.
Operator: That concludes today's conference call. Thank you. You may now disconnect your lines.